Operator: Ladies and gentlemen, thank you for standing by and welcome to the Armstrong World Industries Incorporated First Quarter 2020 Earnings Conference Call. At this time, all participants’ lines are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions]I would now like to hand the conference over to your speaker today, Tom Waters, Vice President of Corporate Finance. Please go ahead, sir.
Tom Waters: Thank you. Good morning and welcome. Please note that members of the media have been invited to listen to this call and the call is being broadcast live on our website at armstrongceilings.com.With me on the call this morning are Vic Grizzle, our CEO; and Brian MacNeal, our CFO. Hopefully, you have seen our press release this morning and both the release and the presentation Brian will reference during this call are posted on our website in the Investor Relations section.I advise you that during this call, we will be making forward-looking statements that involve risks and uncertainties. Actual outcomes may differ materially from those expected or implied. For a more detailed discussion of the risks and uncertainties that may affect Armstrong World Industries, please review our SEC filings, including the 10-Q filed earlier this morning.Forward-looking statements speak only as of the date they are made. We undertake no obligation to update any forward-looking statement beyond what is required by applicable securities law.In addition, our discussion of operating performance will include non-GAAP financial measures within the meaning of SEC Regulation G. A reconciliation of these measures with the most directly comparable GAAP measures is included in the press release and in the appendix of the presentation. Both are available on our website.With that, I’ll turn the call over to Vic.
Vic Grizzle: Thanks, Tom, and good morning, everyone. These are unusual circumstances that we are all experiencing and I want to begin by saying that I hope that everyone on this call, your families and your colleagues are all safe and well. Safety has always been a non-negotiable operating principle at Armstrong and COVID-19 has challenged us to deliver on this principle and I’m happy to report our teams are delivering. They’re working systematically, collaboratively, and with great agility in finding ways to adapt our processes to enable social distancing and to operate within CDC guidelines.Among other things we have altered crewing; adjusted line speeds; installed barriers, and increased the frequency with which we clear our facilities. And our corporate and sales staffs are working from home. And our most recent board meeting was successfully held virtually. We have instituted our emergency lead process so that employees who need time to deal with the COVID-19 issues will have it.Armstrong is a strong company with 160 year history and experience leadership team, a strong balance sheet, and a deep set of core values. Armstrong has weathered crisis in the past and we will weather this one as well. We are committed to keeping our employees safe and supporting our customers, distribution partners, suppliers, and the communities in which we operate. Our long-term strategy to drive shareholder value is unchanged and we will continue even during what is sure to be a challenging 2020.Even within this challenging environment, we will continue to expand mineral fiber AUV, primarily through innovation and improved mix. We will continue to grow architectural specialty share and will continue to accelerate penetration into the specialties business through M&A activity, and continue to drive productivity gains. And not only to continue our digitalization initiatives, but find ways to accelerate their use and deployment as we become the easiest building products company to do business with. And of course, we will maintain a prudent balance sheet and balance capital deployment policy.This morning I will spend the majority of my prepared remarks on the impact of the virus, but I do want to briefly touch on our first quarter financial results and what we are seeing so far in April. Then I’ll update you on where we are today, what we expect, and how our longer-term outlook is developing.First quarter sales were up 3% versus 2019, adjusted EBITDA was up 5%, and margins expanded in the quarter. Sales in the second half of March slowed in the geographies you would expect, New York, Boston, Seattle, and some other severely affected cities. These regional headwinds were partially offset by the acceleration of shipments through essential healthcare projects and stronger sales in Latin America, the retail channel and Canada as we expected.The strong sales in Latin America and the retail channel coupled with significant weakness in premium markets like New York City and Boston had a significant impact on the overall mix and drove negative AUV in the quarter. Now this is an unusual occurrence for Armstrong, so I want to take a moment and be clear that this channel and the geographic swing does not represent a change in course to our overall consistent AUV growth.Also remind you that we are copying a very strong AUV quarter in 2019 where we deliver 10% growth. So, I’m confident that we will return to positive AUV as this year progresses. In the quarter, we also incurred expenses responding to the safety requirements of the virus and the fact that our production at the Marietta, Pennsylvania facility was briefly stopped until the state determined that the plant plays a critical role in the manufacture and supply of goods necessary to sustain life namely health care facilities.These items overall had a modest negative impact on earnings. Now sales in April have clearly been affected by the various state and local shelter in place requirements and their ripple effects. Based on shipments month to date, we currently anticipate that April sales will be down in a range of 25% to 30%. Weakness is apparent in all channels and all geographies with relative strength in Florida, Illinois, and North Carolina, while California, New York, and Massachusetts were particularly [soft].Based on orders and discussions with distributors and contractors we believe May and June will improve sequentially and currently we’re tracking jobs that have been delayed and we are focused on serving them effectively when they get started, including in these delays are a few large transportation projects that will impact our protection specialties in the second half of the year.Overall, we expect the Architectural Specialty business to outperform the market in 2020. We believe the second quarter will be the trough of operating activity for the year and we are managing our production and our inventory accordingly. While clarity is limited, we are aligning with most of the economic and sector specific forecast that we’ve seen and expect the third and the fourth quarter to be sequentially better. The situation remains fluid, so we believe it’s prudent to withdraw previously communicated 2020 guidance.At this moment, all of our plans and distribution centers are up and running with the exception of our recently acquired MRK facility. We continue to work to optimize our production and shipping operations within the new safety constraints and the teams are getting better on a daily basis.We are in close contact with our suppliers to ensure their ability to deliver the materials and services necessary for operations and logistics and as America's only company we have limited overseas supply chain exposure. I have not experienced any supply disruptions thus far.We are carefully monitoring finished goods inventory with the priority on solutions for hospitals and healthcare facilities. In fact, we’ve just recently received urgent request for products at healthcare facilities in New York City, our teams at Steel Ceilings, our plant in Pensacola, Florida and our Wave Group Aberdeen were able to expedite orders for the Mount Sinai, St Luke Hospital conversion and for the Bronx North Central Hospital expansion. These are two great accomplishments and there are many more.Our management teams are utilizing a robust array of digital interactive communications tools to stay closely engaged with their teams. Our sales and design staff remain connected with customers and continue to work on ongoing prospective projects. At Armstrong, we have a 3A policy, any device, anywhere, anytime, and this has been a place for four years now and our employees are comfortably working remotely and in a manner that is transparent to customers.If anything; interactions with architects and designers has increased over the past month. The breadth of cost and technology we now have available on our digital platform is more important than ever. We are fortunate to have started our digital journey when we did as we have a suite of Armstrong's specific digital solutions available to our customers. I have no doubt that these tools, which I have talked to you about in the past, including customer online, one quote, quote to order, and the recently launched projects works are providing a differentiated capability to serve our distributor, contractor partners, in this unique environment.As a matter of normal practice, we annually create multiple recession scenario response plans. And while the rate and pace of the situation was not anticipated we have levers identified and roles and responsibilities assigned and are executing against these plans. We are taking steps to manage expenses, preserve our cash, including cutting SG&A and deferring capital expenditures, and temporarily suspending our share repurchase program. Our regular quarterly dividend is not affected and we remain in the market for strategic and financially attractive acquisition opportunities.So, at this point, let me pause and turn the call over to Brian for a more detailed review of our first quarter results, and then, I will close by sharing my preliminary views on some of the longer-term implications of this pandemic. Brian?
Brian MacNeal: Thanks, Vic. Good morning to everyone on the call and I’ll add to Vic’s thoughts that I hope everyone is healthy and safe. Today I will be reviewing our first quarter results, but before I begin, as a friendly reminder, I’ll be referring to the slides available on our website, and Slide 3 details our basis of presentation.Beginning on Slide 4, for our first-quarter results, sales of $249 million were up 3% versus prior year. Adjusted EBITDA increased 5% and margins expanded 90 basis points. Adjusted diluted earnings per share of $1.10 grew 10% driven by increased earnings, reduced interest expense and a lower share count. Adjusted free cash flow improved by $18 million or 106% over the prior year.Given our focus on cash and liquidity, we’ve added additional metrics to Page 4. Our cash balance of $147 million is $127 million lower than last year, while our revolver availability of $305 million is up $105 million as a result of our refinancing in September 2019. This positions us with $452 million of available liquidity.Net debt is $21 million higher than last year driven by share repurchase activity, capital expenditures, dividend payments, and by the acquisition of MRK. As of the quarter-end, our net debt-to-EBITDA leverage is 1.5 times versus 2.1 times last year as calculated under the terms of our credit agreement. Our covenant threshold is 3.75 times, so we have considerable headwinds.In the quarter, we repurchased $34 million of stock prior to suspending repurchase activity to preserve liquidity in light of the COVID-19 situation. Since the inception of the repurchase program, we have bought back 9.6 million shares at a cost of $596 million for an average price of $62.13. As of the quarter-end, we had $104 million remaining under our share repurchase program.Turning now to Slide 5, adjusted EBITDA increased 5%. The Architectural Specialties segment drove volume growth, including the year-on-year impact of the ACGI acquisition, which closed in March 2019. AUV was a headwind in the quarter and I will provide additional details when I review of the Mineral Fiber segment.Input costs were favorable in the quarter, but offset by inventory valuations as inventories declined at the end of the quarter. We’ve continued to get strong manufacturing performance from our plants aided by our ongoing digitalization investments. SG&A benefited year-over-year due to lower incentive and deferred compensation expenses and WAVE equity earnings grew versus prior year.Slide 6 shows adjusted free cash flow performance in the quarter versus the first quarter of 2019. Cash from operations was up $8 million, primarily driven by higher earnings. Capital expenditures were lower year-on-year, but do not yet reflect the impact of the delays we've implemented as a result of COVID-19. Interest expense was lower as a result of our refinancing in September 2019. WAVE’s cash distribution was down slightly due to the year-on-year timing of capital expenditures and working capital changes.Slide 7 begins our segment reporting. In the quarter, Mineral Fiber sales grew 1% versus prior year. Overall volume is positive as growth in Latin America, the Big Box channel and Canada offset later quarter weakness in our U.S. commercial channel. AUV was negative driven by non-product mix factors.Vic discussed the channel and geographic shifts that negatively impacted AUV from both a sales and earnings perspective, and I remind you that AUV last year was up 10% in the first quarter, so we’re wrapping a strong year-ago good period. Within the core commercial business, we continued see above market performance from our higher end products including total acoustics, sustain and recently ACOUSTIBuilt.In the quarter, price over input inflation was once again positive. As we move through the year and comparisons normalize, we are confidence that AUV will once again be positive, but given the current inflationary backdrop likely comprised of more mix than like-for-like price.Adjusted EBITDA was up $5 million or 6% versus prior year as margins of 44% expanded 230 basis points from prior year. Strong performance from our manufacturing operations was the key driver. SG&A was lower due primarily to year-on-year incentive compensation expenses, including our deferred compensation program. First quarter SG&A spending was not impacted by the reductions we are now implementing as a result of the COVID-19 situation.Moving to Architectural Specialties segment on Slide 8, quarterly sales grew 12% to $51 million. As we out looked on our last earnings call, we expected tough comparisons in the quarter as Q1 2019 benefited from large transportation projects that we knew would not reoccur.Most of the sales growth was driven by our 2019 acquisition of ACGI, but as we’ve discussed, this is not a purely apples-to-apples comparison as we have moved previously sourced third-party wood product sales to ACGI. On a comparable basis, sales of our base business was up modestly.Adjusted EBITDA was flat in the quarter as sales growth was offset by costs associated with acquired businesses and continued investment. We continue see growth in the custom and premium range of our AS product portfolio and we did not experience any sourcing issues in our standard product offering. Acquisition integration continues to go well and our order intake in the quarter was strong.Slide 9 is where we would normally update you on our guidance for the year. However, due to the unprecedented nature of COVID-19 and the subsequent lack of clarity in the marketplace, we’re withdrawing our previously issued guidance. We are also temporarily replacing our past practice of specific financial guidance with commentary on actions that we have greater control over and confidence in our ability to deliver in 2020.First, we will do all that we can to ensure the safety of our employees, service our customers, and support the communities in which we operate. We are taking steps to ensure we can service despite the demand that you're seeing in healthcare projects while offsetting weakness in other end-markets.Second, our Mineral Fiber business will continue to earn like-for-like price greater than inflation through service, quality and innovation. Just as we have for the past decade, including during the financial – global financial crisis, our innovative products will continue to drive mixed gains and contribute to AUV growth.The Architectural Specialties business will organically gain share and as Vic mentioned, we will remain open for business for attractive strategic acquisitions. Our manufacturing operations teams will continue to drive productivity gains as they demonstrated in the first quarter and we are taking actions to prudently reduce manufacturing and SG&A spending.Third, we are temporarily suspending our share repurchase program to preserve cash. We look forward to restarting it when the outlook becomes more certain. Our regular quarterly dividend remains in place and our Board declare another distribution just last week.Fourth, given the strong free cash flow generation of this business and our expectation to see favorability in every element of free cash flow generation below EBITDA, we expect to deliver a free cash flow margin in the range of 22% to 25% of sales. We are implementing steps to Delay capital expenditures to a range of $45 million to $55 million, down from the $71 million in 2019.Fifth, we are taking advantage of provisions of the CARES Act that allows us to defer about $6 million of payroll taxes into future years. We've also accelerated our 2019 federal tax filing to allow us to receive a $28 million refund associated with the sale of our international business.Consistent with past practices, we will exclude this when we discuss operational adjusted free cash flow performance. That said, it’s still $28 million of cash. All of these actions give us confidence that barring a truly unforeseen downturn we will generate a 22% to 25% adjusted free cash flow margin.Slide 10 comes from our investor presentation and I wanted to highlight it here as it clearly illustrates the power of our cash generation capability and our ability to manage through recessionary environments, including the global financial crisis. This past performance informs our confidence in delivering a 22% to 25% adjusted free cash flow margin in 2020.Finally, as we preview last quarter, we executed a pension risk transfer moving over $1 billion of pension obligations related to approximately 10,000 of retirees. As a result of this transaction, we recorded a noncash charge of $374 million as a component of non-operating expense to reflect a partial planned settlement. This charge is recorded in our unallocated corporate segment and as with other non-cash pension expenses and income we exclude this from our adjusted financial results.We did not have to make any cash contributions to the pension as a result of the transaction and do not anticipate contributions in the coming years. For your balance sheet models, this transaction and the required re-measurement of our pension benefit obligation results in a $370 million reduction in retained earnings, a $385 million reduction in our accumulated other comprehensive loss, and $11 million increase in our prepaid pension asset.These are challenging times, but I have no doubt that Armstrong is uniquely positioned to succeed. We have the leading brand, the best innovation pipeline, unparalleled industry margins, and the best-in-class free cash flow margin generation. We fully expect to emerge on the other side of these prices with our value creation model impact.With that, I’ll turn it back over to Vic.
Vic Grizzle: Thanks Brian. A shock to the system of the magnitude we are experiencing now will undoubtedly have far reaching impacts on the way all of us live, work, learn, heal, and play in the future. I think we can all imagine the future with a heightened focus on healthy spaces in offices, stores, hospitals, airports, schools, and other indoor environments. What exactly this new normal will look like is still developing, but Armstrong is committed to remaining on the leading edge of innovation, safe, and sustainable commercial interior solutions.We’re already off to a broader way of health care appropriate products including the health zone family. Health zone ceilings allow for the washability and scrubbability necessary in hospital settings exceeding industrial guidelines for cleanability. These products provide antimicrobial bioblock performance that resists the growth of bacteria. These products also provide the superior acoustical performance necessary in healing environments and can be used in nonmedical spaces too.For example, Calla Health Zone offers the smoothest mineral fiber ceiling available making it perfect for offices, retail, education, and other interior environments along with its total acoustics and sustained performance. We are using this time of uncertainty to strengthen our already closed relationships with the most creative thought leaders in the A&D community. We will have a strong voice in the conversation around the future interior spaces and develop products and systems to serve these needs.We are also engaging with contractors and assessing the future of job sight activity. It is unlikely that construction practices emerge from this crisis unchanged. We will be at the forefront of designing on the job solutions for the new environment. This will involve collaboration with our WAVE team, our digital solutions, and with our distribution partners.Finally, we are building on our already robust digitalization platforms to further enable the virtual design process we have pioneered and make the order management process completely frictionless. As I said earlier, Armstrong is a strong company. We have a talented, committed, and agile team. We have deep longstanding relationships with the leading contractor designers and architects in the industry and we have best-in-class distribution partners.We have a network of proven suppliers and service providers and a strong balance sheet with ample liquidity, low leverage and no near-term maturities. And as Brian mentioned again, we will open for business for financially and strategically attractive acquisitions and investments, and we have a long-term strategy that is as appropriate now as it was a year ago. We entered this crisis with the strongest brand, leading share positions, the broadest and most innovative product portfolio in the industry.Financially, we have best-in-class margins unparalleled free cash flow margin and numerous avenues for growth and we will exit this crisis in an even stronger relative position poised to win and to create long-term shareholder value. As you’ve heard me say before, Armstrong remains committed to being the standout leader in innovative products and digital solutions to provide the best possible experience for our customers and we are committed to making a difference in the spaces where people live, work, learn, heal and play.And with that, we’ll be happy to take your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Keith Hughes with SunTrust. Your line is now open.
Keith Hughes: Thank you. Couple of questions on the 25% to 30% decline in April, do you have a sense for how much of that is [distributor inventories] coming down versus some of the lower sell-through?
Vic Grizzle: Keith it’s hard to tell how much of that. I’m sure it’s a mix based on different distributors and their different situations. So, I wouldn’t attribute that too heavily on distribution – leveling of distribution. I would say that’s more skewed toward the stoppage of construction sites and the flow of product into those construction sites. Again, there were some big cities, Boston, New York city, Seattle, San Francisco that literally closed construction sites, so I think it’s more a reflection of that.
Keith Hughes: Okay. And then is the difference between Mineral Fiber and Architecture Specialties in April?
Vic Grizzle: I’m sorry, Keith I didn’t hear your questions.
Keith Hughes: Yes, so the decline for April; can you give us a sense how much mineral fiber was versus Architecture Specialties?
Vic Grizzle: Yes, as you can imagine that the way that these two businesses perform in a downturn, the majority of that is Mineral Fiber. We’re continuing to gain share and our backlog continues to remain fairly robust in Architectural Specialty, so it’s a minority portion from Architectural Specialty and majority portion from Mineral Fiber.
Keith Hughes: Okay, thanks.
Vic Grizzle: Like in past downturns, there was a very similar performance in 2008 and 2009.
Keith Hughes: Okay. Thank you.
Vic Grizzle: You’re welcome.
Operator: Thank you. Our next question comes from John Lovallo with Bank of America. Your line is now open.
John Lovallo: Hi, guys. Thank you for taking my questions and hope you guys are doing well and healthy. First question is, maybe just thinking back at prior downturns, maybe the global financial crisis would be something to think about here, were you still able to put through too prices increases a year with you know call it [indiscernible]?
Vic Grizzle: I think what happened in the last downturn to use that as a reference point, price AUV was positive, continued to be driven up by mix as the industry continued no matter they were buying less, but they were buying more of the higher value, higher end products and we expect that to be the same dynamic in this market environment as well. So, I think deflation goes down and like-for-like pricing holds, mix is positive and that drives the overall AUV higher. Again, that’s exactly what we have seen in the last several recessions and the depths of the recession and the financial crisis in 2008 and 2009, we saw that again. So, we expect again that dynamic to happen again in 2020.
John Lovallo: Okay that’s helpful. And then maybe just about you were referring to capital allocation, I know the share repurchases are put on hold. Do you anticipate still pursuing Architectural Specialty acquisitions or is that kind of on the background for now as well?
Vic Grizzle: Yes. No, I think in the short-term here as Brian outlined I think very well we’re being prudent cash managers here controlling our costs for deferring CapEx, stopping our share repurchase as you mentioned, but as soon as we have an eye to how deep this is and how wide this is going to be and how long it’s going to last. We have a strong balance sheet. As Brian outlined, we continue to expect to drive strong cash flow this year even in this environment and that we’re in a unique position to be opportunistic around M&A. So, we’re open for business. We are – our pipeline looks good. It’s going to continue to get better we believe through this and we’ll be active in M&A as we see good strategic financial smart place to make.
John Lovallo: Thank you, guys.
Vic Grizzle: Yes.
Operator: Thank you. Our next question comes from Ken Zener with KeyBanc. Your line is now open.
Ken Zener: Good morning, everybody.
Vic Grizzle: Hi, Ken.
Ken Zener: Vic, I guess Brian, the one fundamental question I have is, I wanted – like you to expand on your view that, you know, in past period you did see the high-end accelerate and I’m thinking specifically 2010 when offices had a lot of renovation as landlords started to keep tenants or attract tenants. Given the unique nature of this deceleration and people are using things like Zoom, could you talk to where your confidence comes from, given that that office space won't be seen by companies as, you know, I guess, you know, the intensity or the need per employee might go down [on pay]? And then, b, since you’ve been around for over 100 years, did you guys look at any demand curves post the [indiscernible]? Thank you, that’s it.
Vic Grizzle: Thanks, Ken, for the question. You know, I think we do believe there's got to be changes for sure, right. The emphasis on healthy spaces is going to be everybody's focus not only in offices, right, but in education, transportation just about every commercial space is going to be emphasizing how do we create more healthy spaces. I think it's fair to say that there's going to be a pause on new construction in office in particular as people assess their needs and what the real new normal, what it’s going to do to the office space.And in fact, third-party, you know, entities like Dodge has already reduced the new construction outlook for this year, but I would say, again, you have to remember in this business, we have a diverse set of end-markets, office, we’re not biased so heavily to just one that we’re going to go with way offices go as we talked about in the past, in the last 10 years actually. There’s a real portfolio affect.When office has been up in the last four or five years, there's others that have offset that. So, I – the way we think about what's going on in office and I think this is still developing to be honest with you, Ken, is there’s going to a lot of renovation opportunities because what has been happening over the last 10 years has been employee densification and even in the education environment, student densification, those trends are going to reverse and this trend toward open offices is going to reverse.I think we can be confident of those simple basic design trends are going to reverse themselves. Those in themselves will create tremendous renovation opportunities in the office segment. And by the way, I think this is going to happen in healthcare facilities, as well as the educational facilities as they try to use more healthy materials in these environments. So, I think there’s going to be puts and takes.We’ll have to see; we’re very early to understand the real new normal impacts. But I'm not overly concerned that they’re not going to need because people are telecommuting or even there's more colleges using online education that that is going to be a huge headwind for this business. I think there's going to be equal opportunities in other parts and other verticals and in other parts of renovation activity.I mean just – while I'm on this, let me just say, Ken, because I think this is important for everybody to recognize and this is how we’ve seen this in the past is this business will trade in a very tight range in terms of the volume in Mineral Fiber because of the diverse end-markets that we serve and because that diversification is actually accentuated when you look at the cuts of renovation and new. And so, there's always puts and takes; there's always positives and negatives going on as we’ve experienced over the last 10 years, but the range of volumes and all parts of the cycle that’s really tightly – as we are in a tight range and I think in this cycle, we’re going to see something very similar.
Ken Zener: Thank you.
Vic Grizzle: You’re welcome.
Operator: Thank you. Our next question comes from Kathryn Thompson with Thompson Research Group. Your line is now open.
Kathryn Thompson: Hi, thank you for taking my questions today. First, just going to focus on supply chain and we have feedback from our commercial construction contacts that are put into disruptions in the supply chain and these mainly have been around plants or factories operating [indiscernible] reduced hours or closed altogether. What do you see in terms of managing supply chain, and more importantly, what are the bigger changes you expect going forward in terms of managing supply chain? And so, this is necessarily the supply chain to the manufacturer of your product, but really more of the supply chain through the end-market? Thank you.
Vic Grizzle: Well, I think the – I mean it's hard to say exactly all the changes just yet, but I think the use of digital tools is going to creep its way into all parts of the supply chain. I think that’s inevitable. I'm really happy that we’ve taken an advanced head start on this. I know a lot of our distributors and our partners are also moving in this direction, but I think the use of digital tools and making it easy for people to manage their orders, place their orders in a remote way, I think, is going to be key to the supply chain going forward. And I would say that’s the apparent one at this point. I don't see any structural changes or moves in the supply chain as far as our business and our approach to the market so far.
Kathryn Thompson: Okay. Following up and this really more on specialty services surfaces and products, as we’re having the early conversation on a changing workplace, what types of products other than – we focus on the ceiling, but what other types of products as you manufacture your target are well-positioned for this changing landscape in terms of healthy spaces with interior products? Thank you.
Vic Grizzle: Yes, whether it's on the ceilings or the wall, I think cleanability is going to be a very important attribute and you might see some more solid surfaces on both the walls and ceilings, things like metal or wood that are highly cleanable in addition to our Mineral Fiber line that’s highly cleanable. So, I think this actually could expand the use of various materials on ceilings and walls that, again, provide that extra cleanability.
Kathryn Thompson: Great. Thank you.
Vic Grizzle: You’re welcome, Kathryn. Thank you.
Operator: Thank you. Our next question comes from Susan Maklari with Goldman Sachs. Your line is now open.
Susan Maklari: Thank you. Good morning.
Vic Grizzle: Good morning.
Brian MacNeal: Good morning.
Susan Maklari: My first question is just, you know, going back to thinking about some of the volumes in the projects that you expect to come through, how should we think about – you know what percentage of your revenues could potentially be coming from healthcare or some of the sectors that have been smaller maybe over the last few years as office may be kind of give some of that share back? And then, thinking about that shift in your revenue breakdown, are there any margin implications with that?
Vic Grizzle: Yes. So for your question, Susan, I think, as I was saying earlier, there might be a pause taken on new construction in office and it’s certainly the outlook of some of the third-party data sources we look at. Conversely, they’re forecasting an increase in new construction activity and renovation activity in healthcare as you can imagine.I think this crisis has clearly highlighted there's a capacity issue in our healthcare system to manage events like this. That will likely get rectified over the next several years and the way that they’re treating the spaces for flexibility and to be able to expand within the current facilities in different parts of the hospital for certain events like this. I think is going to create renovation opportunities.So again, I think there is going to be lot more activity in healthcare facilities over the next several years that would more than offset what we might see for instance in the new construction part of the office market. That’s about 15% to 20% of our businesses today and with office in the 25% to 30% part of our business. So not too far from a proportion standpoint.
Susan Maklari: Okay, and then are there any margin implications as we think about the growth in health care or do those projects tend to run fairly similar with some of the office work that you do?
Vic Grizzle: Yes. The margin and the AUVs that we sell in both of those space are about the same.
Susan Maklari: Okay. And then you mentioned in the commentary, you know the efforts that you are putting into thinking about reducing SG&A and kind of controlling the cost structure, can you just give us a little more color there?
Vic Grizzle: Yes. Brian I’ll let you speak to that if you will.
Brian MacNeal: Yes. I'll just - before I am to the SG&A, I’ll add a piece on the margins. Susan, you know as each of these end-markets start to mix up as they do major renovation, so I would call out our confidence in our ability to mix. That’s going to help those margins across each of those end-markets. And then on the SG&A side, we’ve been making investments over the last few years. We’ve frozen headcount at this point. We’re prioritizing spending for some of the commercial facing sales teams, but all the other SG&A, more G&A were locking down to make sure we’ve got conservative cash there and generate free cash flow.
Susan Maklari: Okay. Good, thank you.
Operator: Thank you. Our next question comes from Michael Wood with Nomura Instinet. Your line is now open.
Michael Wood: Hi, good morning. Could you give some more thoughts in terms of what the detrimental margins may look like at least in the initial stages of this decline and how are you thinking about – imagine the duration of the downturn is going to determine the nature of the cost actions that you ultimately take, have you gotten to a point yet where you are planning for or have an idea in terms of temporary or permanent cost actions and where might you be thinking out about the duration in terms of the planning.
Vic Grizzle: Yes. I’ll let Brian talk about the detrimental margins Mike, but I would say we’re very clear, we have lined a sight to the cost actions we need to take for what we see in front of us in the next month or two. And those plans are being implemented as we speak. So, those are going, as you say though as things start to develop if the outcomes that we’re expecting are different one way or the other then we can adjust. We have line of sight to another round of cuts and actions that we would take in the event that it was deeper or longer than we expected.So, I would just say, we’re not providing any guidance in terms of the overall numbers, but I would just say we do believe May and June should be sequentially better than April and that’s one of the big differences right, in this downturn is, it took a lot of long time in the 2008, 2009 downturn to reach the trough. I think it could be 30 days to 60 days in this event to reach the trough and then to start our way back out of that.So, I think we have good line of sight on the actions and you know this team well. We’ll adapt and adjust as we need – as things develop in front of us. On the detrimental margins, Brian do we want to take that?
Brian MacNeal: Yes, sure. Mike, as you know, our mineral fiber segment has incremental margins of 60%, AS is typically the 30 range, so as you step back and think about the actions we’re taking as a result of suppressed demand, the detrimental margins will be in that 40% to 50% range with the total company and as Vic pointed out, you know this team well, we're going to adjust, we’ve got our finger on that pulse and we’re trying to make sure we’ve got the best information to inform how deep this is going to be and how long it is and so we can pick the right actions to generate free cash flow.
Michael Wood: Okay. I appreciate that. And also, what are you seeing in terms of, I know you have a project tracker to track those big projects, can you just speak to any trends there and maybe what you are hearing anecdotally from architecture customers in terms of the nature, the weakness that you have seen in terms of how much of it is work stoppage versus inability to just get in the certain places or cities versus just underlying demand fallout? Thank you.
Vic Grizzle: Yes. Mike, you know, we in the first quarter and we talked about this, right. We had really good overall activity, quoting activity, if fact I think I may have mentioned this on our last call, I hadn't talked to anybody that didn't have positive quoting activity and was feeling good about the year before this all began. So, I think the work is there and in a lot of cases the work has already started, it just got stopped. And so, as we track these projects we’re watching very closely for things that are delayed versus cancelled. And we’ve had very few cases of work being cancelled. It’s been mostly delayed until things open back up again and then – and as the sentiment, I think within our contractor and our distribution community is yes, when these things open up, the jobs are there waiting for us to finish and waiting for us to do. So, I think that’s the sentiment generally speaking really across the country.
Michael Wood: Okay, thank you. Stay safe.
Vic Grizzle: Yes. You too.
Operator: Thank you. Our next question comes from Stephen Kim with Evercore ISI. Your line is now open.
Stephen Kim: Yes. Thanks very much guys. Couple of questions, one, the mix we saw impacted by Big Box and LATAM, you mention the easy comps from a year ago period, how much of what you saw in this quarter do you attribute to the comps versus something that you saw encouragingly on a sequential basis from those two end markets?
Vic Grizzle: Well we had tough comes actually in the first quarter.
Stephen Kim: I'm sorry that’s what I meant.
Vic Grizzle: I figured you did. Just to make that clear. Yes. I mean 10% AUV, and 7% like-for-like pricing and in the first quarter of 2019. So, we expected that to be a tough comp and we were looking for what we saw on the like-for-like pricing, which is flattish pricing on that side of the AUV. So, it’s all mixed and the mix was driven by, again we were expecting the LATAM market to rebound, remember we had a tough year last year in that channel and we were putting access in place to fix that same with the Big Box channel.So, we were expecting some growth in those channels. I think, exasperated the situation though, in the last couple of weeks of March, we had high AUV markets in the U.S. and also they were shut down. Boston, New York City, so these are high AUV markets that we didn't were able to – Seattle is the other one that we weren’t able to ship into. So, really it’s the combination of you had lower volumes in your highest AUV markets in the United States. And complicated by you had stronger growth in your lower AUV channels. So, really overall it was a mix issue and as you know you have seen over time quarter-to-quarter these things kind of work their work way out on an annual basis and we expect AUVs to be positive in 2020 despite the downturn.
Stephen Kim: Yes. Great. Appreciate that. Secondly, you talked about digitalization and the initiatives you’ve been undertaking there over the last couple of years. In general, I’m trying to understand how significant this could be for you as we come out of this initial impact from COVID-19? Can you give us some specific examples where the digitalization programs that you have got, that you have been implementing or having a noticeable impact on your results and are any of these likely in your view to become more visible in 2Q – as early as 2Q or 3Q?
Vic Grizzle: Well I think everybody has been forced, right, to work this way – work remotely, and so we’ve really had to rely on digital tools and there’s been a couple of examples where we’ve been able to use the project works software connecting literally in four different areas, an architect, a contractor, a distributor, and our sales force in a common place and actually look at the take off design work that needed to happen and be agreed upon to move the project forward.Without the project works, I don't know how you do that, other than a series of emails or exchanges or pieces of the drawing, but they literally will be able to do it real-time in project works was obviously a big asset and allowed us to actually get that work going and moving in spite of the fact that we’re working remotely. So, there's really good examples. I'm very encouraged by the way that our sales team in particular are staying connected to the architectural community and moving projects forward even though nobody is in the office.So, I think these are going to – as I said in my prepared remarks, I really believe these are going to get accelerated because some people are going to get used to working this way because they’ve been forced to do and they’re finding out, hey, actually, this is pretty good and this is pretty easy and it’s more efficient. So, I think there's going to be an acceleration in the use of these tools. We’re still in the early innings, Stephen, but I think these are going to get accelerated.
Stephen Kim: Do you think it could be like 25% of your newer projects that are using this project work software or is that too aggressive?
Vic Grizzle: I think sitting here it’s too hard to tell, okay. So, we'll see, we'll see. I think it's going to be a lot, you know, exponentially more than it was before, which we are in the early innings, and so, it’s hard to say an exact number of that Stephen, but I think it’s going to be a lot more than – and it’s not going back to the way it was to the numbers that was before. I think this is going to accelerate our work with architects and designers in particularly this way.
Stephen Kim: Yes, great. Well, clearly it’s an advantage being an early mover there, so that’s great. Thanks guys.
Vic Grizzle: Yes, thank you.
Operator: Thank you. Our next question comes from Philip Ng with Jeffries. Your line is now open.
Philip Ng: Hi, good morning everyone.
Vic Grizzle: Hi, Phil.
Philip Ng: Can you give us some color on how trends are tracking in April and some of the markets you called out that were hit harder like Boston, San Francisco, New York versus some of these other regions? And I don’t see any early read on the timings on those markets that may reopen from your context.
Vic Grizzle: Well, I think I mentioned the four big ones where we felt the biggest shortfall. I mean literally when they shut, they shut the construction site. There is no flow of material versus, you know, a slowdown in the pace of work for distancing and [support] that may be happening in other places, but Boston and New York, Seattle, San Francisco, they literally stopped construction work altogether.So, I think I mentioned those – those are the ones that we felt mostly in April. Boston's opened up already. You know, New York is not yet, but as anticipated in May, middle of May some time, they start to – I read this morning, they were going to relieve the restrictions on construction work. Seattle is now open back up. Of course, when we say open back up, these are slow transitions back to opening under these safe work practices, so I don't mean like a light switch they’ve been opened back up and [flow a product] as again, but – as flowing again, but it's encouraging, and again, it gives us the confidence to say we think May should be better than April and June should be better than May as these projects are there waiting to be finished and as we open those sites up and are able to start shipping into those sites, we should start to see some improvement in May and June.
Philip Ng: Got it. Any color on some of those places that weren’t hit, or they’re down like 10% because it sounds like Boston, New York obviously was hit very hard.
Vic Grizzle: Yes, those were stoppages, and so – you know it’s hard to put a number on it, to be honest with you. So, I’d rather not put a number on it, but I can tell you those are the biggest and higher AV markets, so you can imagine that’s an outsized impact on the overall sales trend.
Philip Ng: Got it. That’s super helpful.
Vic Grizzle: Okay.
Philip Ng: And 1Q obviously was very noisy from a AUV standpoint, but just what type of traction you saw on your price increase that you typically go out with on Mineral Fiber early in the year? And how perhaps AUV might be tracking in April?
Vic Grizzle: Yes, I think our pricing is – our like-for-like pricing component of that is – it’s where we expected it to be, Phil, and tracking the way we expected it to be. It was early, you know, it was early and the – it’s before the crisis frankly, so fortunate that way, but really the mix is – until New York, Boston, Seattle, we start really getting a good flow of products. We’re going to have some mix headwinds and I would say that's consistent with what we see in April given the downfall as I just talked through is driven by some major metro markets.
Philip Ng: Got it. That’s super helpful. And just one last one for me, how should we think about inflation or maybe perhaps deflation now? Brian gave us some color to start the year and how that would kind of flow through over the course of the year?
Vic Grizzle: Yes. Brian, you want to take that question?
Brian MacNeal: Sure. Yes, we’d outlined a little bit of net inflation, right? Obviously, on the weight side, most of that’s contractual 2.5% range, but as many of you're seeing some of the gas is down, electricity is relatively flat, some of the [raws] are, you know, puts and takes that net generally in a deflationary period. So, we’re again not guiding so to the deflation.
Philip Ng: Okay.
Brian MacNeal: As we mentioned, this is dynamic. You could see some pressure back in the fourth quarter, so I’d say it’s not as inflationary as we thought back in the beginning of the year.
Philip Ng: Okay. Super helpful. Thanks a lot guys.
Vic Grizzle: Thanks, Phil.
Operator: Thank you. Our next question comes from Garik Shmois with Loop Capital. Your line is now open.
Garik Shmois: Oh! Hi, thanks. Thanks for squeezing me in. Just first I just wanted to circle back around on the CapEx view taking it down to, you know, kind of the $45 million range. Just wondering, you know, is this a [barebones] maintenance level? Or are there additional, I guess levers that you can pull on CapEx if you need to over the next, you know, one or two years?
Vic Grizzle: Brian, I’ll let you take that.
Brian MacNeal: Yes, So Garik good question. We range that $45 million to $55 million range, so that’s a good mix kind of hit in our historic norm of 50% on repair and maintenance and another 50% is supporting growth and productivity. We still have contingency there if we need to pull down, if this is a more prolonged or deeper demand impact, so more to go there if we need to.
Garik Shmois: Okay, thanks. I just wanted to ask a bigger picture question, just – you know it’s only one month with your data, but, you know, you did talk about [Dodge starts getting negatively revised down] on the office side. It’d be high at a pretty drastic pull back, you know, given that your products tend to go into, you know, structures that I guess started, you know, a year or two afterwards. You know just wondering how you’re thinking about, you know, the volume opportunity over the next several years just given I guess some of these drastic moves on the leading indicator side? You know would you be concerned, you know, as far as the pull back in demand long-term? Or you know I guess, anyway you could help us, you know, think about those leading indicators and how you’re thinking about them as well?
Vic Grizzle: Yes, it's really – it’s early, right, but Dodge has recalibrated around work force starts. You know, when you look at our set of markets, let's pick a number, it's probably in the neighborhood of what they're out looking and we all know that that's not an exact science, but down 10% in terms of starts, 12 to 18 months out, that's an impact on say 30% of our business. So, 10% of our – down on 30% of our business, about 3% headwind.As I out looked before, there's equal opportunity and accelerated renovation activity in both the office, education, and healthcare facilities that will help offset that. And in fact, what happens and it has happened in eight of the last nine downturns, including the 2008, 2009, when new construction goes negative, [R&R] activity picks up, and that’s 70% of our business. So, we’re not concerned about, you know, major structural shifts or changes in terms of the overall demand for Mineral Fiber.Within the verticals, they may change a bit, but that’s that portfolio affect that we’ve actually been experiencing for the last several years. So, we’re not overly concerned about that. We’re watching it; it could create a bit of an air pocket or headwind that we’ll be watching for 12 to 18 months out. But again, I think that would – in itself would be ignoring the fact that there's a tremendous amount of other renovation opportunities that we’re excited about.
Garik Shmois: Great. Thank you very much.
Operator: Thank you. Our next question comes from David MacGregor with Longbow Research. Your line is now open.
David MacGregor: Yes, good morning. Thanks for taking the question. Vic, earlier in response to a question, you’ve provided a little color around the percentage of your business in office and healthcare and together they represented about half of the Mineral Fiber business, I – first of all, I guess for clarity, are we talking about Mineral Fiber or Mineral Fiber plus AS? I was wondering if I could get that to maybe – yes, I wonder if I could get you to round that out a little bit, just talk about the other 50%, what verticals would make up the balance?
Vic Grizzle: Yes, like I was talking about, so this is primarily a Mineral Fiber. Look, although…
David MacGregor: Okay.
Vic Grizzle: … Architectural Specialties isn’t too far off of this, okay. So, it wouldn’t be a huge departure, but this mainly what we’re talking about in terms of Mineral Fiber, but the other verticals, and this is in our Investor deck if you want better detailed reference, but retail, transportation and education would make up the other 50% roughly.
David MacGregor: Right. Is there any chance of getting some granularity around just quant on those?
Vic Grizzle: In terms of the percentages?
David MacGregor: Yes.
Vic Grizzle: Yes. That’s in our Investor deck. And Brian, maybe you could say more on where to find that in the Investor deck.
David MacGregor: I can find it in the deck, that’s okay.
Vic Grizzle: Okay.
David MacGregor: Yes. And then…
Vic Grizzle: I mean education is [indiscernible].
David MacGregor: A follow up question, just on the SG&A, just trying to get a sense of where fixed versus variable would fall?
Vic Grizzle: Brian, you want to take that?
Brian MacNeal: Sure. David, you know, we – obviously everything over time is variable, right. It depends on how long it is or at least majority of it. So, in this short-term, a good bit of that is fixed, but we are working on the discretionary pieces of it. Again, I’m not going to give you exact number on that break down, but you know, you can imagine travel has been cut back, it’s frozen.We’re finding ways to operate more remotely and we’re going to continue to do that even as we see markets open up because we’re finding ways to be more efficient there, some of the digitalization efforts we’ve talked about. So, we’re looking to maintain that spend, even with a little bit of headwind from investments from the acquisitions.
David MacGregor: Okay, thank you.
Vic Grizzle: Thanks, David.
Operator: Thank you. Our next question comes from Justin Speer with Zelman & Associates. Your line is now open.
Justin Speer: Well, good afternoon, guys. Thank you for taking me on here. The first question I have, I don’t know if you can answer, but roughly if you can give us some context, the percentage of your business that is in the materially affected geographies, I’d be interested to know that.
Vic Grizzle: Well, Justin, all geographies had been impacted by the coronavirus and our demand. Some have been, in fact the four or five that I mentioned where there is clearly stoppage of construction sites in those cities, obviously, that was the most dramatic in terms of the impact. There are large metro markets by the way, but to go, you know, to stoppage not delays or slowdown, which we have seen in some of the other markets that haven’t – that have really deemed construction as an essential business, which has been the majority of places outside of those major metros I mentioned where you still have a slowdown in labor and, you know, pace of work. So, it’s been a – it’s – we’ve seen an impact, as I said in my prepared remarks, really in all channels and all geographies.
Justin Speer: Right. And I'm just saying for – I guess I should have rephrased it, but where you've actually seen 100% stoppage? I was curious if there’s like a definition of how big that is in your portfolio?
Vic Grizzle: No, I’d rather not disclose that at this point. Again, I can tell you, it was an oversized contribution based on the fact that it will stop versus a slowdown in the flow.
Justin Speer: Makes sense. And then, the other question I have and just going back to David’s question about the verticals, and looking at retail, transportation and education, just if there’s any context or nuance that you can call out there currently? And then, just based on your experience and the nature of this downturn, how do you think those verticals, those pieces of your business will respond?
Vic Grizzle: Yes, I think what we have from a historical perspective that informs this is back what I was mentioning earlier that, you know, in downturns like this, the CapEx dries up and some of the new construction activity slows down and goes negative for a bit. And I think that’s reasonable to expect, except in healthcare. I think in healthcare, we’re going to see a continuation of the expansion of healthcare capacity and facilities, which will offset some of the other verticals.Big transportation projects, in my experience, they may get delayed, but they don’t canceled that they’ve already been started. And so, a lot of this stuff that’s already been started is going to get finished because this isn’t the financial crisis; the money hasn’t dried for those projects. I think in certain segments, you might see a pause until they’ve understood what this new normal looks like and what it might mean for them as a company. But I think we’re going to see an uptake in renovation activity in all of these verticals really driving to more healthy spaces and how do they get to healthier spaces whether it be diverting traffic, foot traffic, whether its meeting spaces, whether it’s, you know, more private spaces both in education, healthcare and offices. So, I think there’s a lot of positive trends here that could drive renovation activity higher over the next couple of years.
Justin Speer: You know you mentioned like eight of the last nine downturn, I guess it maybe many decades [indiscernible].
Vic Grizzle: It does, it does.
Justin Speer: I guess is that in year one or is that in year two? I guess if you were to start the clock on the recession, I know there's been filtered through a longer kind of longer-term lease for your [indiscernible] and non-res, but just thinking about this renovation piece, what in your mind suggest that a confidence will be in the business realm strong enough to support renovation or refurbishment relative to last downturns? And maybe which was – I guess it was a great – the financial crisis where renovation did not hold up, is that correct?
Vic Grizzle: Yes, that was the other one where both went down in the same year, but even in that year, if that was down in 2009, in 2010, renovation activity popped back up. So, it was a temporary downturn, and of course, that was a very serious – obviously, very serious downturn. Justin, I answered your question on that?
Operator: Thank you. I am not showing any further questions at this time. I would now like to turn the call back over to Vic Grizzle for closing remarks.
Vic Grizzle: Okay, thank you very much, and thanks everybody for joining us. I think it’s – you know when you’re on the outside looking in into crisis like this, I think it’s important for me to note that the rate and pace of activity inside the organization, even though were remote, is extremely highly. Our team is highly engaged and they’re on this and I think the way to picture what this team is doing right now was leaning into this crisis.They’re ready to execute, and as we said earlier on the call, this team is ready to adapt and adjust as needed as we get into what is undoubtedly going to be a challenging second quarter. We look forward to updating you next quarter, and I want to thank you and wish everybody to stay safe.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.